Operator: Thank you for joining us for this morning’s Navios Maritime Partners’ Fourth Quarter and Full Year 2014 Earnings Conference Call. With us today from the company are Chairman and CEO, Ms. Angeliki Frangou; EVP of Business Development, Mr. George Achniotis and Chief Financial Officer, Mr. Efstratios Desypris. As a reminder, this conference call is also being webcast. To access the webcast please go to the Investors Section of Navios Maritime Partners’ website at www.navios-mlp.com. You will see the webcast link in the middle of the page, and a copy of the presentation reference in today’s earnings conference call. Now let me read the Safe Harbor Statement. The conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners’ management, and are subject to risks and uncertainties which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Partners’ filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligations to update the information contained in this conference call. The agenda for today’s call is as follows. First Ms. Frangou will offer opening remarks, next Mr. Desypris will give his overview Navios Partners’ financial results, finally Mr. Achniotis will provide an operational update and an industry overview, and lastly we’ll open the call to take your questions. Now I’d like to turn the call over to Navios Partners’ Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Laura, and good morning to all of you joining us on today’s call. I’m pleased with our results for this quarter as we recorded EBITDA of 39.3 million and net income of 13.5 million. We also announced a quarterly distribution of $0.4425, representing an annual distribution of $1.77 per unit. This annual distribution provides a current yield of about 15%, about 2.5 times the Alerian MLP index yield. We take the opportunity not only to reaffirm Navios Partners’ existing distribution through the end of 2015, but we extend this commitment to the end of 2016. We are also prepared to increase our distribution in the future when the [cyclic] market stabilizes and the market is recognized to such an ability of our yield. We have repositioned Navios Partner as a container focused MLP after entering the container market in December 2013. Since then, we have acquired eight container vessels generating about a 1 billion in revenue, representing 68% of our expected contracted revenue and 44% of our expected 2015 EBITDA. Today, our container fleet represents about 41% of Navios Partners’ total tangible assets. The average charter length of our container sector is about eight years while the average charter duration of our entire fleet is about 3.5 years. Recently there have been large declines in commodity prices that have created tremendous uncertainty about continuous growth for Company’s in the MLP state. We at Navios see the oil price decline as an opportunity to react and [evolve] in all as diversified sectors. For example, the container trade has held a strong positive correlation of 0.88% with U.S. personal conjunction over the past 10 years. We believe this [cycle] relation is largely attributable to increases in consumer spending support in greater volume for consumer good and large portion of it is typically transported via container, by positioning NMM as a container focused MLP we will benefit from the economic growth that will occur when consumer spend their additional disposable income generated through lower oil prices. Translating what I just said into number, we have allowed consumers spend about 4.5 billion a day yesterday, than last year. These amounts were an annual spending reduction of more than $1.6 trillion. The savings provide consumers with a reasonable disposable income and other time a significant boost to our global economy. NMM stands to benefit from the resulting increased container trade. As you can see from Slide 2, Navios Holdings owns 20% of Navios Partners, and inherit Navios Partners become a key player in the drybulk and container industries. Navios Holdings have made a General Partner and most recently agreed to take over [indiscernible] prices from Navios Partner because these vessels were not accretive to our cash flow. Today NMMhas a market capitalization of about a 1 billion and then enterprise value about a 1.5 billion. Slide 3 provide sound of the company highlight. Area container focused MLP with eight container vessels, these vessels are generating about a 1 billion in revenue, representing 68% of our expected contracted revenue. In quarter we own 31 vessels representing about 3.3 million deadweight loans, the average target duration of our entire fleet is about 3.5 years. Overall the NMM has a secure revenue stream with 95.2% of the Company’s contracted revenue and two charters longer than three years. NMM has maintained a solid distribution through the cycle evident by a 26.4% increase in distributions since inception. Slide 4 displays our focus on the container sector. We entered the container sector in December 2013 to diversify it outside the dry bulk sector. The container acquisitions that are under long-term charters contract not only extend our overall contract duration but also mitigate market risk and provide solid cash flow to the Company. We booked eight attractively valued vessels for a total acquisition price of $540 million that have about 8.8 years in average charter duration at the time of acquisition. The containers are expected to generate 78.1 million of annual EBITDA and concluded at an attractive average EBITDA multiple of 6.9 times. Slide 5 provides an update to our recent container vessel acquisition. The container vessel was acquired at an acquisition price of $147.7 million. The vessel is chartered out for 12 years at $60,275 net per day to a strong counterparty. NMM has an option to terminate this charter after year seven, which of course allows us to participate in a rising market. This vessel is expected to generate 18.4 million of annual EBITDA and 217.8 million of aggregate EBITDA over the duration of the contract. In addition to profitability, our vessel acquisition is sharp that will have no residual value exposure on the completion of the initial charter. Upon the expiration of the charter, the vessel will have 10 years of useful life remaining. The container acquisition will be financed using about 81 million in debt and the remaining will be cut from the balance sheet, the debt financing transfer with attractive terms with an amortization profile of 13.4 years interest rate of LIBOR of 275 in the maturity until 2022. Slide 6 details a strong track record of success in the distribution of security we have provided to our unit holders. We have worked diligently over the past year to take advantage of any market weakness to renew our dry bulk fleet amended into the container industry. Since 2011, we have generated strong double-digit attractive growth in EBITDA and operating surplus. Our operational fleet increased by 373% with 25 vessel acquisition both are [brought] down from our sponsored and from third-party acquisitions. We did show while consistent refinancing acquisition in advance so we did not face any great financing issues. In this effort, we collected about 900 million through the equity capital market and 400 million through the Term Loan B market delivering an efficient management of the Company and is established as the consistent distribution pace with about 630 million distribution paid since inception representing a 26.4% increase in annual distribution per unit since our IPO. Slide 7 shows our liquidity, at the end of the quarter, the fourth quarter we have total cash of about $100 million and total debt of $583.3 million. We have a longer debt to book capitalization ratio of 36.2% and no significant debt maturities until 2018. Slide 8 shows the multiple ways we have been able to grow our fleet and distributions. Since our IPO in late 2007, we grew distributions by 26.4% and our operational fleet capacity by 420%. With did this with the assistance of our [sponsors] though volumes dropped down, more recently we’ve been active in the S&P market and we have been able to find attractive opportunities in the container sector. At this point, I like to turn the call over to Mr. Efstratios Desypris, Navios Partners’ CFO; who will take you through the results of the fourth quarter of 2014. Efstratios?
Efstratios Desypris: Thank you, Angeiki, and good morning all. I will briefly review our most recent financial results for the fourth quarter and year ended December 31, 2014. The financial information is included in the press release, and is summarized in the Slide Presentation on the Company’s Web site. We have another quarter of strong financial and operational performance. We continued to expand our cash flow generation through the acquisition of container vessels with long term charters. The containers now represent more than 40% of our expected EBITDA for 2015. The constant accretive expansion of our cash flow has allowed us to extend our commitment for a minimal annual distribution of $1.77 per common unit through the end of 2016. As Angeliki mentioned we hope the market business give us credit for the durability of this distribution. Moving to the financial results, as shown on Slide 9, our revenue for the fourth quarter 2014 increased by 13.9% to 59.4 million compared to 52.1 million over the respected quarter of last year. The increase was mainly due to the increase in available days by 28.8% and was partially mitigated by the 10.1% decrease in the time charter equivalent rate achieved in the quarter of $20,388 per day compared to $22,682 per day for the same quarter of 2013. EBITDA for the fourth quarter of 2014, increased by 3.7 million mainly due to the increase in our fleet. Net income for the fourth quarter was 13.5 million, 3.3 million higher than the same period last year. Operating surplus for the fourth quarter of 2014 amounted to 26.4 million. Replacement and maintenance CapEx result was 6.3 million. Moving to the 12 months operations, time charter revenue for 2014 increased by 29.2 million to 227.4 million. The increase was mainly due to the increase of the available days by 37.4% which was partially mitigated by the decrease of time charter equivalent rate achieved in the quarter 16.4%. EBITDA for 2014 has been positively affected by the 47.6 million accounting effect of the insurance settlement regarding the second quarter. Furthermore 2013 EBITDA was positively affected by the 13.3 million payment received in advance one of our vessel. EBITDA increased by 46.6 million to 200 million, mainly due to the increase in our income I just discussed above as well as the increase in revenue. This increase was mitigated mainly by the higher management fees of 14.2 million due to larger fleet and the increase in G&A expenses by 1.5 million. Net income for 2014 amounted to 74.9 million compared to 59 million for 2013. Net income for 2014 was positively affected by 47.6 million accounting effect of the insurance settlement and was negatively affected by the 22 million non-cash write-off of intangible assets relating to the Navios Pollux. Net income for 2015 has been positively affected by the 13.3 million payment of affected EBITDA and has been negatively affected by a $2.4 million non-cash write-off of deferred financing fees associated with the prepayment of refinancing with our credit facility and a $3.2 million non-cash write-off of favorable lease relating to Navios Melodia. Operating surplus for 2014 was $150.2 million, which is 19.7% higher than the corresponding year in 2013. Fleet utilization for 2014 was 99.8%. Turning to Slide 10, I will briefly discuss some key financial data as of December 31, 2014. Cash and cash equivalents was 104 million. Total assets grew over the 1.3 billion reflecting the increase of our fleet. Long-term debt including the current portion increased by approximately 50 million mainly due to the 56 million dropdown of the financing of the two container vessels that we acquired in Q3 and Q4 of 2014. Net debt-to-asset value on a charter-adjusted basis at the end of the quarter was 45.4%. As shown on Slide 11, we declared the distribution for the fourth quarter of $44.25 per common unit. Our current annual distribution of $1.77 provides for an effective yield of approximately 15.5%. The record date for the distribution is February 11 and the payment date is February 13, 2015. Our common unit coverage for the quarter is [26.77] times while the common unit coverage for the full year was 1.10 times. To provide a more meaningful ratio going forward we present the pro forma coverage ratio of 1.02 times. This pro forma calculation gives effect to the full quarter run rate Operating Surplus over the two container vessels which we get delivered Q4 and Q1 of 2015 and the normalized revenues on hires of vessels received [indiscernible], that gives exposure to the container segment with a long-term charter duration and results in very healthy pro forma average ratio going forward. The stability we have built in our cash flow generation and our coverage ratio allowed us to extend our commitment for a minimum annualized distribution with $1.77 per common unit through the end of 2016. I would like to remind you that for U.S. tax purposes, a portion of our distribution is treated as a return of capital. Also, we report the cumulative annual distributions to common unit holders on Form 1099. Slide 12 shows the details of our fleet. The two container vessels currently in operation the Navios Aldebaran and Navios Prosperity will be taken over by our response with Navios Holdings. Transferring these vessels will eliminated our charter [inputs] and reduce our open days. As a data presented excluded these vessels for more fleet. We have managed more than diverse fleet with the total capacity of 3.3 million dead weight tons. Our fleet is young with an average days of 7.6 year will be lower than expected industry averages. Our fleet consist 51 vessels, 8 Capesizes, 20 Panamaxes, 3 Ultra-Handymax and 8 container vessels. Slide 13, demonstrates our stronger relationship with key participants in our industry. Our charters have an average remaining contract duration of 3.4 years. Approximately 83% of our contracted revenue is from charters longer than five years. Our charters are spread amongst a diverse group of counterparties. In Slide 14 you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Currently, we have fixed 80.1% of our available days for 2015 and we are 47.7% fixed for 2016. We do not have charter rate exposure to the container sector as all vessels are fixed for an average period of approximately eight years. On the drybulk vessels, we feel that we have positioned the company well to take advantage of an improving market. The expiration dates are staggered, and the charter durations extend to 2027 the latest. As shown on Slide 15, we are efficient low cost operators. We are benefiting from the economies of scale of our sponsor, and we have fixed our operations cost at low level. Our OpEx is about 20% below the industry average. I’ll now pass the call to George Achniotis, our Executive Vice President of Business Development to discuss the industry section. George?
George Achniotis: Thank you, Efstratios, and good morning all. Please turn to Slide 17, as Efstratios has already mentioned we had already mentioned Navios Partners is more focused on the continues segment where interface on the maintenance are improving as this is a very strong co-relation with the U.S personal consumption expenditure growth as shown on the chart. Lower oil prices should create more U.S consumption which intend to lead to further growth in the continued trade. Moving to Slide 18, over the past 18 years continues trade has expanded at 3.5% target rate. The rate of growth has been increasing since 2012 and is expected to continue to increase over the next two years reaching 6.8% 2016. Turn to Slide 19, at the end of 2014 the container fleet included 5100 vessels over 18.2 million during the year 201 vessels delivered and 171vessels were scrapped. But the fleet as measured by fee use expanded by 6.45% due to massive vessels joining the fleet. This is slightly above the 6% estimated growth in trade volumes but below 6.7% estimated trade growth for 2015. Scrapping of old industrial efficient vessels has continued in 2014, 381,000 [PU] was scrapped. The current read environment through the encourage additional scrapping of older vessels. Moving to Slide 20 in the dry bulk market, world economy growth continues to have a good co-relation with raw material consumption worldwide as the whole continues to urbanize and industrialize. The rate of world rate GDP growth is expected to increase from 3.3% in 2014 to 3.5% in 2015 and 3.7% next year. In marginally developing markets are expected to grow by 4.3% in 2015 and 4.7% in 2016. Turning to Slide 21 dry bulk states has expanded by 5.5% CAGR in 14 years since China joined the WTO. Forecast for this year are for global drive out faith to grow as about 5%, but some while grow should still be around 6%. Moving to the next slide urbanization/industrialization in developing countries estimate key driver for dry bulk chain, currently just over 50% of the world's population resides in urban areas, that’s figure is expected to grow to 67% by 2050 adding approximately 2.8 billion gap on the residents with a large portion of urbanization occurring in the Asia Pacific region. The arising worldwide urbanization will drive construction of housing commercial and real estate and infrastructure. Together seaborne iron ore and coal shipments mabe up aboutt 60% for world drybulk moments China imports almost 70% of the old Seaborne Iron Ore with iron ore prices covering the low $60 per ton range China will continue to subside a low grade domestic iron ore with high quality imported ore. Sea production growth will also add to China's increased need for aero-rowing boats. Core is also a significant driver of demand, India's new prime minister has made electricity availability to the population a priority. India's coal input will drive global sea war coal movements as the majority of this new product brands are coal fire. Please turn now to Slide 23, in 2014 about 48 million dead weight tons delivered out of unexpected expected 75 million times we're not delivered at 8 for the yield was 36% continuing the pattern of the last several years. Scrapping rates for older lesser efficient vessel have continued in 2014 16 million dead weight tons was scrapped, through the first three weeks of this year an additional 2 million dead weight tons was scrapped including 98 size vessels. The current rate environment that to encourage scrapping of older vessels about 11% of the tradition over 20 years old providing about 82 million dead weight tons of scrapping potential. Net fleet growth in 2014 was 4.4% in projections are for similar or lower levels this year. A drybulk market is expected to remain low during the first half of the year and may began to rise in the second half is expected to tackle project in scrapping materialize as forcasted. This concludes my presentation I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, George. This completes the follow-on presentation we open the call to questions. 
Operator: [Operator Instructions]. The first question comes from the line of Ben Nolan of Stifel. 
Unidentified Analyst: Hi this is actually [Steven Fitzworth] in for Ben Nolan. Thanks for taking my call. I was wondering if you could expand a little bit on your focus with the container market, just the function of current marketing conditions or is this more of a long-term focus for you?
Angeliki Frangou: This is actually a long-term relationship we entered, which started from December 2013, we saw opportunities as a market and also a [indiscernible] markets actually they reduced and almost disappearing shows up provided a good deal. We're able to get however 44% of our EBITDA coming from the containers the containers sectors we have almost 80 million EBITDA and a 1 billion in contracted revenue. This provides us also duration, if you see over the last deal we have done which provides us we had an average duration of almost 8.8 years, so this is a -- this is deal was done at a 12 years duration with Navios option to terminate at seven, so it will created a very good portfolio of contracted revenue with long duration. Also because we selected a nice timing, we have been able to enter that market with an attractive multiple over 6.9, below 7 that brings us in nice position for this sector. 
Unidentified Analyst: Do you have I guess with your focus shifting to containers ships do have a more negative view of the drybulk market, has it really been the same?
Angeliki Frangou: I think the MLP lacks long durations and long contracts and today the best deals you can really attractively find is in the container segment. 
Unidentified Analyst: Okay. And my last question is concerned with the two Panamaxes vessels that will be taken over by Navios Maritime Holdings, are there any costs associated with those contracts being taken over?
Angeliki Frangou: No there is no cost and that was a good deal for NMM because in essence you count for 700 days available days to two Panamaxes that in essence were [indiscernible] [Audio gap] really with the bulk of this distribution. It does not make sense for MLP to have vessels that don't have long durations in having spot market is that’s provided visibility we will use by 700 days open days and today we're keeping 80% of our fleet being fixed for 2015 is very profitable position. 
Operator: Our next question comes from the line of Amit Mehrotra of Deutsche Bank. 
Amit Mehrotra: I would like to get a sense on what the assumptions are in your commitment to keep distributions steady through 2016 specifically is the company assuming additional acquisitions in that commitment or even a modest reduction in coverage or maybe a use of the cash balance or any improvement in time charter rates. Or do you feel that the organic operating cash flow generation at the current rate environment will be enough to sustain the dividend through 2016?
Angeliki Frangou: We feel that with the current market coverage fleet and picking up vessels we feel comfortable that we can commit on the distribution. Our focus on new acquisitions is in the container segment which we see as a more attractive entry point. Let's not forget last time we finished 2014 with the coverage of 1.1 on coverage of our distributions. And the focus of entering new acquisitions within the container segment, we see that the market asset will progress, it will be recovered. Let's not forget that the recent drop in the drybulk market is very much associated also with inactivity of traders I mean they have seen oil drop, the ripple effect on other commodities and you see that the market has been a little bit it has been inactive on a level but we're seeing that in 86 which in is [just] similar days when you had the drop in oil of about 60%. So in the drybulk on the short-term we see that the market will remain there that's why we use our exposure, we are more focused on our position on the container vessel and we will not increase our distribution until we see that our sale price is really appreciating with was a kind of distribution we give?
Amit Mehrotra: Just a follow-up on that, just like to be crystal clear, so I understand is that your view is after the most recent container acquisition that you announced and I completely understand why the acquisition strategy is in the container phase makes complete sense, but to keep distribution flat from ‘15 to ‘16 you would not have to -- the company would not have to acquire additional revenue stream or earning stream is that how we should think about it?
Angeliki Frangou: I mean I would find that very -- we will keep it, I mean don’t forget we have a modest laboioreres the thing is that I would find it very likely that we’re not going to add additional days, I mean don’t forget we have mortgage leverage and we can do additional of this, I find it very unusually not to do additional acquisition in the next two-year to be very clear. And most probably that will be in the container segment.
Amit Mehrotra: I just had one more follow-up question which is a nice Segway to what you just said -- is more strategic, because clearly the company is increasing its position -- sort of changing its position as a container ship company and like I said that makes complete sense to me, but I believe on the last call you had mentioned that [restore] an expectation that 50% of the cash flow stream would still be coming from drybulk and essentially creating drybulk in my view more like an optionality on the company given where rates are today, but is th1 50-50 breakdown still the expectation or maybe have you over the last three or four months decided that maybe more than 50% of the business should come from the containership business because of the duration that that provides?
Angeliki Frangou: If we can do another acquisition similar like the previous one, you may easily sure cross 50%, but the drybulk will remain a part of our business more -- and you really have the recovery of the drybulk whenever it happens as further boost for coverage, but what we see that most probably in the next acquisition you may easily see about 50%, even if it remain somewhere between 50% and 60% EBITDA.
Operator: The next question comes from the line of Chris Wetherbee of Citi Research.
Prashant Rao: Good morning, guys. This is Prashant in for Chris. Thanks for taking the question. I wanted to touch back on something [Stratus] talked about improving a near-term outlook for improving fundamentals in the drybulk market and we’re going to the question is that add another sources and it looks like we’ve kind of flattened out sequentially month-over-month in the last few months on the charter rates on drybulk. I was wondering what kind of rate improvement or what kind of rate you were incorporating into your near-term view on the drybulk side and as much as that relates to oil prices I guess a read through on that view from you guys?
Chris Wetherbee: I think on the -- what you see really on the drybulk is that you have an absolute growth that is really around 4%, this year will even come below for say about 3.5 and you have 3.5 which is good and in the essence we are too sure this is last year from the time that we had discussed in July the docking, we have seen deterioration which is drybulk, I think that’s kind of a situation we’ll stabilize, I mean somewhere we’ll stabilize on the oil and as you have seen accelerate scrapping in the drybulk, so our supply side is not bad. I mean just in the month of January, we show our 10 vessels capsize been scarp, we sold 2.3 million deadweight tons with scarp, if you analyze this you are looking an enormous 29 million tons -- deadweight tons been scrap, which is over -- is almost 3.7 - 3.5 of the fleet. So let just grow from its peer, you may see about below 4. The actual -- if a few market stabilizing and actually people trade of South [Korean] that will have in a more normal life this will bring a healthier environment. Today the market is at a low, I mean we are keeping the low that we have seen back almost in mid-80s, so you are talking about really low part of the title and let's not forget that we have in two weeks the Chinese New Year, which traditionally is a period with no activity. So to really see how much of develops and activity in the drybulk we have to see it after Chinese New year.
Prashant Rao: And I guess a follow-up to that just to be clear would you be expecting little bit more deterioration going into 2015 before the scrapping fund -- the scrapping improvement effect on the fundamentals starts to kick in and starts some rate improvement?
Angeliki Frangou: I think as oil balance, these commodities will balance and activity will such, but what is amazing and I thought that was quite interesting to see that in The quickness on which we show scrap accelerate rate, I mean quite remarkable to see this kind of over 2 million deadweight tons 2.3 million deadweight tons in the scrap that on the month of January.
Prashant Rao: And I guess the question on the financing side, the so the Cristina acquisition it looks like the terms on the debt were little bit more favorable than your last credit facility maybe by 50 basis points over the LIBOR that sort of a difference. I was wondering if you’re seeing debt market to become a little bit more favorable either for you in general for container shipping for your industry or/and should we think about that going forward in terms of debt financing for the month -- debt financing, also incrementally it looks like there was a little bit more debt than may perhaps in previous acquisitions and should we expect slightly higher debt percentage for financing going forward?
Angeliki Frangou: I think it’s not very different than overall the vessel is about 64% below 65% the one issue that we’ll see that it’s also an indication of the duration of the contract of the particular vessel.
Prashant Rao: So more to be with the duration than anything else?
Angeliki Frangou: Yes.
Operator: Your final question comes from the line of Shawn Collins of Bank of America.
Shawn Collins: On the container ship side when I look at page 17 of your slides on container trade growth I am just wondering with the significant decline in oil prices I know it’s early but have you seen any evidence so far of a pickup in container trade growth or at least some commentary from any of your counterparties to this effect?
Angeliki Frangou: On the vessels we are getting on Navios Parnters is really long durations and you have seen that we are not exposed to the export market, but what we have seen through our smaller container is we have in the group we are seeing a better redeployment of the vessel. So inevitably I think one thing that since may look recently at the strategy with oil but reality is that reduction in the price of oil provide 1.63 million back to the consumer with an essence is a great benefit for container vessel because consumption it has correlation with the container trade so I think inevitably that will work somehow and into the real economy.
Shawn Collins: Okay, great. That make sense and that’s helpful, just turning to the dry bulk side when I look at page 23 of your slides on the order book there is some talk out there of new builds being converted into dry bulk new builds being converted into tanker new build orders. Just wondering if you see any evidence of this dynamic or do you expect to see more of this or what your thoughts are around that?
Angeliki Frangou: With have significant [indiscernible] also drybulk I mean we have purchase in the capital market and the changes here in the capital markets and we have seen what scope you have done, drybulk has been happening also on the private sector, so it’s not unique so this is an inevitable situation. Let’s not forget that if you take the order book for 2015 is about 85 million deadweight tons to come dry bulk is running on the average was about 36% to 40% non-billable. So this can bring you down to around 55 million deadweight tons and if you add the scrapping that can lead up to 28 million this year you can have a very low quite -- you have mid-20s to high-20s net fleet growth that will be one of the lowest net fleet growth that we have seen it can well become below 4%, it can be around 3.5%, below 4% it is today it looks painful to see the BDI, but I think this is a net positive for the market.
Operator: Thank you. I’ll now return the call to Angeliki Frangou for any additional or closing remarks.
Angeliki Frangou: Thank you. This completes our four month presentation. Thank you.